Operator: Good morning and thank you for standing by. A copy of today’s press release is available on First American’s website at www.firstam.com/investor. Please note that the call is being recorded and will be available for replay from the company’s investor website and for a short time by dialing (203) 369-0663.
 We will now turn the call over to Craig Barberio, Director of Investor Relations, to make an introductory statement. 
Craig Barberio: Good morning, everyone. And thank you for joining us for our First Quarter 2012 Earnings Conference Call. Joining us on today’s call will be our Chief Executive Officer, Dennis Gilmore; Max Valdes, Executive Vice President and Chief Financial Officer; and Mark Seaton, Senior Vice President of Finance.
 At this time, we'd like to remind listeners that management’s commentary and responses to your questions today may contain forward-looking statements, such as those described on Page 4 of today’s news release and other statements that do not relate strictly to historical or current fact.
 The forward-looking statements speak only as of the date they are made and the company does not undertake to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made. Risks and uncertainties exist that may cause results to differ materially from those set forth in these forward-looking statements. Factors that could cause the anticipated results to differ from those forward-looking statements described on Page 4 are also described on Page 4 of the news release.
 Management's commentary contains, and responses to your questions may often contain, certain financial measures that are not presented in accordance with generally-accepted accounting principles, including a personnel and other operating expense ratio. The company is presenting these non-GAAP financial measures because they provide the company’s management and investors with additional insight into the operational efficiency and performance of the company relative to earlier periods and relative to the company's competitors.
 The company does not intend for these non-GAAP financial measures to be a substitute for any GAAP financial information. In the news release that we filed today, which is available on our website www.firstam.com, the non-GAAP financial measures disclosed in management's commentary are presented with and reconciled to the most directly comparable GAAP financial measures. Investors should use these non-GAAP financial measures only in conjunction with the comparable GAAP financial measures.
 With that said, I’d now like to turn the call over to Dennis Gilmore 
Dennis Gilmore: Thanks, Craig and good morning and thank you for joining our call. I’ll begin with a review of our first quarter highlights and then I’ll close with a few comments on our outlook for the year. 2012 was off to a good start. Total company revenues were $967 million, up 4% with net income of $31 million or $0.29 per share.
 The Title segment generated a pretax margin of 6.8%. Our efficient and scalable cost structure, combined with improved market conditions, enabled us to deliver our best first quarter since 2006.
 Closed orders were up 16%, driven by a 36% increase in refinance transactions. Our Commercial division continued its strong growth, with revenues of $81 million, up 21%. While the order volumes have improved, we continue to maintain tight control on expenses, as a result, the combined ratio of personnel and other operating expenses to net operating revenue improved to 78% in the quarter compared to 83% last year.
 Our claims provision rate was 7.2% for the quarter, as we continue to operate in an elevated claim environment. Our Specialty Insurance segment achieved a pretax earnings of $13 million for a 17% margin. Segment revenues were up 8% and our overall loss ratio was 49%.
 In April, we completed a new $600 million revolving credit facility with improved pricing and terms. A favorable market response enabled us to increase the size of the line. This new facility enhances our flexibility and financial strength of our company.
 Turning to the outlook, first quarter orders were up 31%, the strongest in 3 years, driven by an increase in refinance activity and a modest but encouraging increase in resale transactions. And so far in April, open orders per day are running slightly ahead of March. And we expect HARP 2.0 to generate additional refinance activity. This increase in open orders, combined with a solid commercial pipeline indicates that the closed orders should remain strong throughout the second quarter.
 As we’ve demonstrated in the first quarter, we have been successful in capitalizing on the operating leverage in the business. As the market recovers, we are committed to delivering continued margin improvement.
 I’d now like to turn the call over to Max, for a more detailed review of our financial results. 
Max Valdes: Thank you, Dennis. The company generated total revenues of $967 million for the quarter, up 4% when compared with the same period of last year. Net income was $31.3 million or $0.29 per share, compared with a net loss of $15.3 million or $0.15 per share for the same period of last year.
 In the Title Insurance and Services segment, total revenues were $891 million, up 3% compared with the same quarter of last year. Direct premium and escrow fees were up 16% driven by a 16% increase in our closed orders for the quarter.
 Agent revenue per order closed increased slightly to $1,315 compared to $1,310 for the same quarter of last year. Agent premiums were down 6%, which was comparable with the 4% decline in direct premiums we experienced in the fourth quarter, reflecting the normal reporting lag in agent revenues of about 1 quarter.
 Information and other revenues totaled $155 million, up 3% compared to the same quarter of last year. This increase was driven by higher demand for title plant information and increased international service revenues, offset in part by reduced demand for default information products.
 Total investment income for the Title segment was $15.3 million, down 5% from the same quarter of last year, reflecting higher net realized investment losses compared to last year.
 Personnel costs were $278 million, up $18.5 million, or 7%, compared with the same quarter of last year. This increase was primarily due to higher incentive-based compensation, increased healthcare related expenses and 1 additional payroll day. During the quarter, we were able to manage the significant increase in order activity without any increase in our total workforce.
 Other operating expenses were $172 million, down $3.8 million or 2% from the same quarter of last year. This decrease was primarily due to lower office-related expenses and professional services, offset in part by higher production-related expenses due to increased order activity. The combined personnel and other operating expense ratio declined to 78%, from 83% last year, as a result of operating leverage.
 Agent retention was 80.2% of agent premiums, compared with 80.0% in the first quarter 2011. The increase in the agent retention percentage was primarily due to a large commercial deal with a favorable agent split that closed during the first quarter of the prior year. The provision for title losses was 7.2% of premium and escrow revenue, reflecting an ultimate loss rate of 6.2% for the current policy year and a net increase in the loss reserve estimate for prior policy years, primarily ‘07 and ‘08.
 Pretax income for the Title Insurance and Services segment was $60.8 million for the first quarter, generating a pretax margin of 6.8%.
 Turning to the Specialty Insurance segment, total revenues were $74 million, up 8% compared with the same quarter of the prior year. The loss ratio was 49%, down from 51% in the prior year and we generated a pretax margin of 17.3%.
 Net expense in our corporate division was $22.1 million, up $1.5 million from the same quarter of the prior year, primarily due to an asset impairment. Going forward we expect corporate net expense to be approximately $20 million per quarter.
 With that, I will turn the call over to Mark. 
Mark Seaton: Thank you, Max. I will provide a few comments on our liquidity and capital. Cash used for operations in the first quarter was $7 million, an improvement of $44 million relative to the first quarter of last year. It is typical in our business to have a drawdown on cash in the first quarter due to the seasonality of our operations and the timing of certain cash payments.
 Capital expenditures during the quarter were $18 million, up from $13 million in the same quarter of last year, due to system and application conversions. In April, we entered into a new 4-year, $600 million senior secured revolving credit facility. The deal was oversubscribed during syndication and we exercised our option to increase the size from $500 million to $600 million in connection with the closing. This replaces the company’s $400 million revolving facility that would have matured next year.
 Pricing reflects a 75 basis point reduction from the prior [indiscernible] financial covenants are substantially the same, while certain other provisions no longer apply at current ratings, have become less restrictive or have been removed. In addition, the security will be released if the company meets certain rating levels. This facility significantly enhances our liquidity and financial flexibility.
 We currently have $77 million of operating cash and 6 million of our 8.9 million shares of CoreLogic at the holding company. Based on yesterday’s closing price, our stake in CoreLogic was valued at $144 million, $97 million of which is held at the holding company. In addition, we also have $400 million available on our new $600 million line of credit.
 Our cash and investment portfolio totaled $3.3 billion as of March 31, which includes $1.4 billion of fiduciary funds. The portfolio is comprised of debt securities of $2.2 billion, cash and short-term deposits of $739 million, equity securities of $218 million and $200 million is less-liquid, long-term investments.
 Overall, we have a high-quality portfolio, with just 1% of our debt securities rated below investment grade. Debt on our balance sheet totaled $277 million as of March 31. Our debt consists of $200 million funded on our credit facility, $44 million of trust deed notes and $33 million of other notes. Our debt-to-capital ratio as of March 31 was 11.7%.
 I would now like to turn the call back over to the operator to take your questions. 
Operator: [Operator Instructions] Our first question comes from Brett Huff from Stephens Inc. 
Brett Huff: First of all, great job on the incremental margins. We were excited about those, and it looks like the operating leverage is looking really good. The one big question we had was on the reserve, we were surprised it was as high as it was. And I think specifically, last year, your in-year policy reserve was something like 5.6, and it seems it went up to 6.2. Is that a conservative view, should we expect that over the next couple of years or what can you kind of tell us, color-wise on how that will trend? 
Max Valdes: Yes, Brett, this is Max. And it is somewhat conservative. We’re being cautious at the beginning of the year. As you know, the whole industry saw some escalated defalcations last year. And we haven’t seen any in the first few months of this year, but the year is very new. So we want to start the year being a little conservative or cautious. And then we’ll see how the year plays out. 
Brett Huff: Okay, that’s helpful. And as you look forward in terms of, or as you're thinking about paid claims, is your sense that paid claims peaked last year, will peak this year, will peak next year, kind of where are we in that inflection point? I know that a lot of investors are looking closely at how that will impact cash flow. 
Max Valdes: Yes, we think they peaked last year and they’ll be coming down this year. 
Brett Huff: Okay. And then, I’m not sure if you -- I don’t think you said this in your stats, but Dennis, I think you at least referred to it in terms of a little bit better purchase transactions. Do you guys have a sense of what resale transactions grew year-over-year over some time period, whatever might be handy, in the last quarter? 
Dennis Gilmore: Sure, actually flat right now. We’re looking at flat as good. The MBA has forecasted a flat market from year-over-year. What we actually saw quarter-over-quarter was a 2% increase and that trend's continued into April, which had again, slight increase. 
Brett Huff: Okay. Did the quarter-over-quarter, do you mean, is that sequential? 
Dennis Gilmore: No, first over first. 
Brett Huff: First over first, okay. So, flat year-over-year, sorry I’m confused, is it flat year-over-year for the quarter or 2% higher? 
Dennis Gilmore: Effectively 2% higher right now. 
Brett Huff: Okay, that’s what I needed. And then, did you see the mix going forward, have you seen the mix in purchase and REFI, switch at all, it sounds like the open orders are tracking close to March for April so far. Is the mix the same or are we seeing more purchases yet? 
Mark Seaton: Brett, this is Mark Seaton. Yes, the mix is – I'll just give it to you for the last few months. In January, we had a 68% REFI mix and this is in terms of open orders. In February it was 55%, March it was 62%, so it’s kind of trailing down and now it’s picked up a little bit in April, April is back up to 64%. 
Brett Huff: That’s helpful. And then, last question, Max, I think you mentioned this and I didn’t quite follow. The agent retention, I think was up, just a little bit year-over-year, is that right and can you just go through that logic again? 
Max Valdes: Yes, and Brett, the reason it was up, in the first quarter of last year we had a large deal that closed, a large commercial deal that closed that had a very favorable agent split. If you pull that deal out from last year, then we’re actually, our agent retention percentage is actually slightly down. 
Operator: Your next question comes from Jim Ryan with Morningstar. 
Jim Ryan: Regarding the adverse development on claims from 2007 to 2008. Could you give a little bit of color on what the nature of the claims are? I mean, how do you see them continuing to develop? I mean, I’m kind of confused that they’re still happening. 
Max Valdes: Yes, Jim, it’s mostly again those troublesome years, 2007 and ‘08, and they continue to develop a little bit adversely. Now, what we’re encouraged by is the rest of the book, you know, the ‘09, ‘10, ‘11 book, is performing really well. So, still those 2 years that are running a little high. 
Jim Ryan: Well, what type of claims would those be, I mean...? 
Max Valdes: They’re mostly lender claims. 
Jim Ryan: Lender claims, okay. Also, regarding the agent split, I’m not specifically referring to the quarter. But what's your idea in terms of the trend on it. How do you view yourself, do you have a goal in terms of where you’d like to the see the agency split end up, anything along those lines? 
Dennis Gilmore: We'd like to -- this is Dennis. We’d like to continue to see it drive down. I think realistically, for us, we’ll stay in that 80 to 79 range. 
Operator: Your next question comes from Jim Fowler, Harvest Capital. 
James Fowler: Could you, for the first quarter, talk about the trends that you’re seeing in default title and also can you provide margins on default title relative to the rest of your business segments? 
Dennis Gilmore: Sure, this is again Dennis. We’re encouraged actually on the default right now. With the AG settlements, we think that we’ll see some uptick in the default markets. And we actually saw that in the first quarter slightly. We think that trend will probably continue throughout the rest of the year. 
James Fowler: And how does the -- how does the margin on default specifically, relative fall within the purchase and REFI? I was just trying to... 
Dennis Gilmore: It’s similar to the rest of our business from a margin perspective. 
Operator: Your next question comes from Eric Beardsley of Barclays. 
Eric Beardsley: You had mentioned that you hadn’t added any staff in the first quarter for volumes. Would you expect to add any later in the year, as you see an increase, either from HARP 2.0 or increased purchase activity? 
Dennis Gilmore: Yes, we’ll just have to see how the orders ultimately develop. But we are very encouraged, though, by the operating leverage we’ve seen in the business. So if we add staff, it’ll be slight and we’ll just track it to our volumes. 
Eric Beardsley: Great. And then, in terms of the commercial strength, how long would you expect that to continue and what types of trends are you seeing there? 
Dennis Gilmore: Actually, it definitely has been one of our bright spots here. It’s been strong for 6 quarters now. It’s actually turning into more of a broad-based recovery. It’s probably more a traditional market now, buy-sell activity. And we’re planning on our forecasting for a strong commercial market all year long, 2012. 
Operator: [Operator Instructions] Then next question comes from Bose George of KBW. 
Bose George: I was just wondering, do you have visibility on how much of your REFI volume is being driven by HARP? 
Dennis Gilmore: Let me just overall answer the HARP question, how we’re seeing HARP right now. First quarter, really, no volume for HARP, at the end of the quarter. What we are, though, looking for is incremental volume increase through the second, third and fourth quarters. So we do know our customers are gearing up for it, so again, we think we’ll see incremental volume increase as we go through the year. 
Bose George: Okay, great. And then, just, actually, did you buy back any shares during the quarter? I’m just curious what your thoughts are about buybacks with the shares at the current levels. 
Dennis Gilmore: We did not buy back in the current quarter. And we’ll continue to look at appropriate capital deployment as we go forward. 
Operator: At this time, there are no further questions. That concludes this morning’s call. We’d like to remind listeners that today’s call will be available for replay on the company’s website or by dialing (203) 369-0663. The company would like to thank you for your participation. This concludes today’s conference call. You may now disconnect.